Operator: Greetings and welcome to the Altra Industrial Motion's First Quarter 2013 Financial Results. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, David Calusdian, Executive Vice President and Partner for Sharon Merrill Associates, Incorporated. Thank you, Mr. Calusdian, you may begin.
David C. Calusdian: Thank you, Latonya. Good morning. Welcome to the call. With me today is Chief Executive Officer, Carl Christenson; and Chief Financial Officer, Christian Storch. To help you follow management's discussion on this call, we will be referencing slides that are posted to the altramotion.com website under Events & Presentations in the Investor Relations section. Please turn to Slide 1. During the call, management will be making forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements are inherently uncertain, and investors must recognize that events could differ significantly from management's expectations. Please refer to the risks, uncertainties and other factors described in the company's quarterly reports on Form 10-Q and the annual report on Form 10-K, and in the company's other filings with the U.S. Securities and Exchange Commission. Except as required by applicable law, Altra Holdings, Inc. does not intend to update or alter its forward-looking statements, whether as a result of new information, future events or otherwise. On today's call, management will refer to non-GAAP diluted earnings per share, non-GAAP income from operations, non-GAAP net income and non-GAAP free cash flow. These metrics exclude certain items discussed in our slide presentation and in our press release under the heading Discussion of Non-GAAP Financial Measures and any other items that management believes should be excluded when reviewing continuing operation. The reconciliations of Altra's non-GAAP measures to the comparable GAAP measures are available on the financial tables of the Q1 2013 financial results press release on Altra's website. I will now turn the call over to Altra's CEO, Carl Christenson.
Carl R. Christenson: Thank you, David.  Please turn to Slide 2. Our first quarter performance was essentially in line with our expectations with generally stagnant end markets and 5% fewer shipping days in the quarter compared with last year. While revenues were down by 3.7%, we did increase gross margin by 50 basis points year-over-year to 30%, and grew non-GAAP net income by 13.6% to $12.1 million, as a result of lower interest expense from the refinancing, our restructuring in Europe and our profit improvement actions. Beginning in the second half of 2012, we focused on improving our operational performance in Europe and in select underperforming businesses in the U.S. Our key actions in these areas included reducing headcount, limiting discretionary spending and moving certain product line manufacturing to lower-cost countries. We're very encouraged by the results we've achieved thus far and look to ongoing improvement in these businesses in the quarters ahead. We continue to expect annualized cost savings in the range of $3.5 million to $4 million from these actions, and we look forward to capitalizing on increased operating leverage as some of our softer end markets improve. We're also pleased with our free cash flow generation during the quarter. We paid down more than $21 million of our credit facility and increased our quarterly dividend by 25% to $0.10 per share. Please go to Slide 3. Now we'll talk about some of our specific end markets. I'll start with our distribution channel, which is predominantly comprised of sales of aftermarket parts and original equipment parts for small OEMs. Distribution sales were down year-over-year for the quarter while the market itself was flat to slightly down, some distributors reducing inventory. We don't believe that this is a response to market conditions, but rather as a result of our focus on better inventory management. Our product lead times continue to improve so our distributor customers are able to carry less inventory. We still expect some modest growth in the distribution channel in the second half as the industrial economy in North America slowly improves. Turning to Turf & Garden, in the end in Q1 was very good and sales were up year-over-year. However, demand has been tempered in Q2 thus far due to the cold and wet beginning to the spring. For the year, we still expect this market to be up in single digits based on forecast from The Outdoor Power equipment Institute, share gains from our product development efforts, coupled with end market demand due in part from the recent housing turnaround is driving our success in this market. We also performed very well in the Ag market in the first quarter. We're making good progress on the production of new programs for OEMs. One major program we have been discussing on past calls is now in full production while another is ramping up. We expect that these programs and other new product development efforts will make significant revenue contribution this year and throughout 2014. We also had a good order and shipping quarter in the transportation market as a result of demand from automotive OEMs. After significant OEM production delays, we're benefiting from the ramp-up of the automotive programs that we are on and expect good bookings in 2013. We're generating sales from dual-clutch products and the seating system components that we've discussed on prior calls. I'll next discuss the materials handling market where our products are primarily used in equipments such as conveyors, forklifts, elevators and cranes and hoists. In the forklift market, we're doing well in a steady market. Our sales to the elevator market are steady overall, the full production of new brake designs offsetting end market weakness.  And finally, the conveyor systems market is flat. Overall, the material handling market is relatively stable. Now let's discuss our late cycle markets beginning with energy. The upstream component of the oil and gas segment of the energy market continues to be slow, in line with lower rig counts, lower new rig builds, and excess pressure pumping capacity. The aftermarket component of that market is still doing well since the average number of drilling fee of well using high performance equipment has held up and the downstream component is also still performing well. We still see this as a very good long-term market segment for us. Power generation continues to be a great long-term opportunity for us, and the market was relatively strong for the quarter. Alternative energy continues to be a small portion of our total sales. This market is off considerably as a result of purchasing in advance of the expected expiration of the federal renewable energy production tax credit at the end of 2012. Orders have improved somewhat since the PTC was extended through 2013. Mining, which had been soft in the past few quarters, weakened further in Q1. We are seeing some activity in replacement parts, but indications from the OEMs are that the new equipment demand will be soft for quite some time with 2013 demand lower than 2012. Aerospace and defense sales continue to be relatively strong again, driven by activity on the aerospace side of the business. Demand is primarily coming from commercial aircraft and helicopter applications. With that, I'll turn the call over to Christian. And then I will be back to discuss our progress with our strategic initiatives.
Christian Storch: Thank you, Carl, and good morning, everyone.  Please turn to Slide 4. First quarter net sales were $182.5 million (sic) [$185.2 million] compared with $192.4 million, a 3.7% decline in what was a choppy quarter. Compared with the prior year, we had approximately 5% fewer shipping days, which has a significant impact, particularly on our sales into the distribution channel. Excluding the Lamiflex acquisition, revenues would have declined by $8.6 million or 4.5%. Foreign exchange rates had a negative impact of approximately 20 basis points, while price was scalable by 110 basis points. North American revenues declined by 3.5% and European revenues declined 5.6%. Asia-Pacific sales also decreased 9.5%. While sales were down, we were particularly pleased with our gross margin performance for the quarter as we reported a 50-basis-point year-over-year increase to 30%. Non-GAAP operating margins declined 50 basis points to 10.9% due to the incremental startup cost of our channel plant, consulting fees and with respect to our strategic pricing and lean initiatives. First quarter net income was $11.9 million or $0.44 per diluted share, compared with net income of $10.5 million or $0.39 per diluted share in the first quarter of 2012. Non-GAAP income in Q1 was $12.1 million or $0.45 per diluted share, compared with $10.6 million or $0.40 per diluted share a year ago. We recorded a slightly lower tax rate of 31.2% in the quarter when compared with 32.8% a year ago. Slide 5 is a reconciliation of our non-GAAP measures. Please turn to Slide 6. Our book equity was $235.7 million, compared with $232 million at year end of 2012. Cash and cash equivalents were $66.2 million at the end of the quarter, compared with $85.2 million at the end of 2012. During the quarter, we paid down on our revolving credit and term loan facilities in a total amount of more than $21 million. In April, we entered into an interest rate swap on a portion of our variable rates term loan facility to fix the interest expense through 2016, reducing our risk. This was done at a rate of 63 basis points. The underlying notion amount of the swap matches the term loan portion of the facility and the related amortization schedule. Slide 7 reviews our working capital performance. Working capital increased 3.3% in the quarter, sequentially to $179.4 million due to higher sequential sales of approximately 4.5%. Capital investments during the quarter totaled $4.5 million, and depreciation and amortization was $6.8 million. In April, 3 more sites went live on SAP, bringing the total to 21 sites. We have 3 more implementation waves left with the next go lives scheduled for the fall. Looking ahead, while we do not expect end market growth, we plan to enhance our bottom line performance as a result of a number of actions we have described on this call. Please turn to Slide 8 and our guidance. For 2013, we continue to expect full year sales in the range of $740 million to $750 million and non-GAAP EPS in the range of $1.75 to $1.85. We expect the second quarter financial performance to be similar to that of the first quarter. Our expected tax rate for 2013 should be approximately 32% to 34% before discrete items. We expect capital expenditures in the range of $22 million to $25 million in 2013. Capital expenditures will also be below our depreciation and amortization, which is expected to be in the range of $28 million to $30 million. We expect to generate very strong free cash flow of approximately $50 million in 2013. With that, I'll turn the discussion back to Carl.
Carl R. Christenson: Thank you, Christian. And I'd like to provide you with an update on the strategic initiatives that I outlined on our fourth quarter conference call. Please turn to Slide 9. One important element of our strategy is to expand Altra's presence in emerging geographies. And I briefly mentioned the success we've had thus far with our Lamiflex acquisition in Brazil. We've worked through the planning process to take additional products into South America and we're beginning to execute that plan. The integration of Lamiflex continues to proceed quite well, and the team there is optimistic about our prospects to penetrate the South American market. Asia is another geographic region that we have targeted, and a new plant in China is a critical part of our efforts. We're now in full startup mode in China and are continuing to increase production. Operational excellence is another key component of our strategy. On our last call, we discussed our plan to increase the pace of our lean journey and to more aggressively ingrain lean into our corporate culture. We're working with a well-known Japanese lean consulting firm on this effort and we held our first event with them in the first quarter. It was highly successful and we have another 5 events planned with them for this year. I should note that while we are accelerating our lean initiatives in 2013, we're getting good traction from our previous lean efforts and are seeing very good results. Lead times and delivery times are both down and customers are taking notice. The implementation of our new SAP system is another important component of our operational improvement initiative and we continue to make good progress in Q1. We took 3 more sites live in the quarter and expect to take the next 2 live in the fall. We achieved a couple of technical milestones in taking the 3 sites live as they included the implementation of a variant configurator [ph] for customized products and host-to-host capabilities. The balance of our sites will go live in the first half of 2014. Growing sales through product development is another element of our growth strategy. As you heard in the end markets discussion, we're seeing the results of these efforts in our sales. We're hitting all of our product development milestones and expect further success in coming quarters. In addition to product development, we're implementing a new strategic pricing initiative with the assistance of an outside consultant. Based on the initial analysis, we're enthusiastic that this new initiative will deliver the results that we had hoped for. We plan to implement the first phase of the pricing initiative with 4 business units in July. We expect to begin to see the initial benefits later in the second half of the year. In addition to our organic growth initiatives, we continue to pursue opportunities to grow through strategic acquisitions. We have a strong balance sheet and we're ready to execute on the strategy. Before we go to questions, I'll summarize the things we are continuing to execute on our operational improvement initiatives and our organic and acquisition growth strategies. While we do not expect significant end market growth to help drive our results of this year, we expect product development initiatives, as well as other organic growth efforts to result in increased year-over-year sales in 2013. Looking at the bottom line, our European restructuring and improvements of several underperforming businesses as well as our debt refinancing, will have a positive effect on our profitability. We also expect that the acceleration of our lean efforts and our strategic pricing initiative will have a positive effect on our results in the second half of the year. With that, we'll go to your questions.
Operator: [Operator Instructions] Our first question comes from Jeff Hammond with Keybanc Capital.
Jeffrey D. Hammond: Just -- can you just talk about the trend you saw through the quarter particularly with your distribution customers and how they're thinking about destocking? And then just as you look into 2Q, it sounds similar to 1Q, but is organic growth still down in the 2Q year-over-year or do we start to go positive?
Carl R. Christenson: So first of all, Q1 of 2012 was our best quarter and was very strong. We had a tough comparable. In the distribution channel, our discussions with our distributor partners, the end markets appear to be fairly stable and, and I think because of our delivery performance, there's been some of our distributors, not all of them, some of them have taken the opportunity to reduce inventory a little bit. And we see that as a very good -- a good thing because it means that our performance is better in helping them manage their working capital. I think as we look into the second quarter and even more so into the second half, the comparables get a little bit easier. And in our discussions with our customers, the order trends that we saw last year- and then going into this year, it appears that the industrial economy is improving slowly but improving a little bit. So we expect that there would be some better -- much better comparison performance when we look at the second quarter and next year.
Christian Storch: And then Jeff, sequentially, I think we're expecting slightly higher sales in the second quarter which would mean flat to slightly ahead of last year.
Jeffrey D. Hammond: Okay, great. And then, I think you mentioned this performance improvement plan providing $3.5 million to $4 million of savings. So I guess a couple of questions within that. One, what do you think the cost savings is into '13? Do you get some of that in the back half? What's kind of the incremental savings in the '14? And then the strategic pricing initiative, is that within that number or is that additive?
Christian Storch: The strategic pricing initiative is additive. We've tried to quantify in that by saying we are expecting next year and subsequent years about a 50 to 60-basis-points improvement just out of this pricing strategy for the next 2 to 3 years as we roll this program out companywide. The $3 million to $4 million benefit in restructuring, they are partially offset by the cost of these initiatives and they're partially offset by negative revenue trends in Europe and the choppy environment in Europe.
Carl R. Christenson: I think, Jeff, we're working the plans now for the improvements in 2014. And there are some -- so we will have some improvement in '14 over '13 also.
Jeffrey D. Hammond: So this $3 million to $4 million is all in '13?
Carl R. Christenson: Yes, that's 13.
Christian Storch: But partially offset by the cost of these initiatives, the consulting fees that we talked about and partially offset right now, at least, by negative revenue trends in Europe.
Jeffrey D. Hammond: Okay. And then, you think there's more runway on this performance improvement plan for incremental savings into '14?
Christian Storch: Yes. Strategic pricing approximately 60 basis points is our current assumption.
Carl R. Christenson: And then Bauer has another...
Christian Storch: In Bauer, we are targeting another 200 basis points improvement in the operating performance in '14 over '13.
Operator: Our next question comes from Matt Duncan with Stephens Inc.
Matt Duncan: First question I've got, just on the various geographic end markets. The rate of decline that you've seen in Europe is slowing down. You're not dropping as fast as you had been. Are you guys sensing any kind of bottoming occurring there or are things are still getting worse? Just kind of give us an update on what you're seeing in that geography especially.
Christian Storch: I think in Europe, we still see a slight deterioration, nothing dramatic. But we certainly don't see things improving at this point. We are, right now, assuming that we're going to start to see to form a bottom probably over the next quarter or so. The numbers coming out of Germany are still trending negatively, slightly negatively. So I don't think we've seen the bottom yet.
Carl R. Christenson: And I think the biggest thing is it's just so uncertain there. I mean, every week the story changes, so there's just a tremendous amount of uncertainty.
Matt Duncan: And then, Carl, maybe in the Americas, it sounds like Turf & Garden, Ag, and aerospace especially commercial are doing well. But obviously, you had a revenue decline here. So what markets really stood out as being the weakest that maybe caused that drop as I look at it year-over-year?
Carl R. Christenson: One thing in North America, we had 3 fewer days. So don't forget that when you're doing the math. But certainly, energy, the energy markets, and the drilling rig count is down, pressure pumping capacity is very high and excess capacity, we're seeing some decline there. The metals market, we're not seeing the CapEx projects in the metals market. And mining, there has been a lot of information in the press about the situation in mining.
Matt Duncan: Okay. Christian, is there any way to quantify the impact of the 3 fewer days in North America as we're down I guess 3.5-or-so percent?
Christian Storch: Yes, we said 5% and keep in mind, it's particularly important regarding our distribution sales. Distribution sale is about daily sales weights and so that impacts us if we have 5% fewer shipping days into that market, which is a big channel for us.
Matt Duncan: Okay. And then last thing for me, just any updates you can give us on the outlook for M&A. Obviously, your balance sheet continues to improve. It sounds like you've now locked in a chunk of this re-fi with this interest rate swaps. So clearly you guys are still looking at M&A. Just sort of what's the update on how the pipeline is coming together and what we might expect to see from you guys there over the next 6 to 12 months?
Carl R. Christenson: We are being very proactive. We've got the balance sheet in great shape. We now have the integration done with Bauer and Lamiflex, so we're ready to do it from a management bandwidth standpoint. We got to have the right company and we want to make sure that it's a very good strategic fit. So we are on the pavement, we're looking hard. We're well-positioned to do it. So we don't have anything to tell you about what's going to happen the next 6 to 12 months, but when we do, we'll get on the phone.
Operator: Our next question comes from Mike Halloran with Robert W. Baird.
Michael Halloran: So first just -- when do you guys recapture the selling days this year? Is it all in 2Q or is that kind of spaced out through the year?
Christian Storch: On second quarter, we're going to have one more shipping day compared to the prior year. Third quarter will be 1 less shipping day and then in the fourth quarter, there's going to be 2 more shipping days than the prior year.
Carl R. Christenson: We lost 1 day due to the leap year of last year. So we're 1 fewer day this year than last year.
Michael Halloran: Makes sense. And then, looking at the comment you made in the prepared remarks, Christian, about how 2Q is going to be similar to 1Q. Putting that in the context of the answer to Jeff's question where you're talking about slight year-over-year growth which would imply $5 million up sequentially give or take. Why wouldn't there be some sequential improvement from the first quarter to the second quarter, in light of that? Are there any puts and takes or does the...
Christian Storch: That's all our expectation is there is going to be a slight improvement, but nothing dramatic. That's, I think, the message we want to send.
Michael Halloran: No, that's fair. I got the implication that you're thinking comparable.
Carl R. Christenson: And there are some risks, too, some uncertainty in markets like Turf & Garden so if -- the housing is certainly a positive factor for that market, but if the weather doesn't turn then that market might not improve like we -- or might not turn out like we expect it to.
Michael Halloran: That's fair. I was just trying to put all the comments together. And then, on last one for me. The run rate on interest expense, the first quarter here, is the right run rate?
Christian Storch: The swap will add cost to that. It's about maybe $100,000 higher per quarter.
Operator: [Operator Instructions] Our next question comes from Scott Graham with Jefferies.
R. Scott Graham: Two questions for you, really. What occurred in the distribution business with essentially the distributors are and you working together to lower their inventory, how long will that occur? Is that running into the second quarter as well?
Carl R. Christenson: Yes, I think it's going to start to taper off, but we'll probably still see some further decline in the second quarter.
R. Scott Graham: Is there an upside to that for you that you -- that's visible right now other than the subjective, "Hey, we're doing better for our customers" but how are they going to do better by you for that?
Carl R. Christenson: So absolutely, not just with the distributors but with our OEM customers also. So our -- I think the average on-time delivery performance -- and don't forget that distributors a lot of times order it today and want it shipped tomorrow. But the average for manufacturers is in the mid-70s percent. Our performance, on-time delivery performance now is better than 90%. So we have seen, when an opportunity comes up and we can deliver it, we get the order if there's more than 1 potential supplier there.
R. Scott Graham: Right so they're opening up some opportunities for you based on that. I guess what I would say.
Carl R. Christenson: Yes, absolutely, we see this -- the lean implementation, the on-time delivery performance is a significant competitive advantage for us and a very important part of our strategy going forward.
Christian Storch: And if you looked at some of these distributors, they look at a return on invested inventory dollars. Our performance on that metric is off the chart. We are one of the top performers which improves the relationship, and hopefully down the road will give us an opportunity to gain shelf space given that performance.
Carl R. Christenson: We have 1 -- on the OEM side, we have 1 OEM customer where a few years ago, our lead time was 35 weeks. We're now at a point where they've taken all the inventory out of their factory, completely dependent upon our manufacturing delivery performance. And we now ship to them next week what they order this week. It's just built a tremendous relationship with that customer.
R. Scott Graham: My other question is back to the ERP. You're moving to the final innings of the implementation and I'm just wondering if the 2 of you kind of where you sit with obviously better information at your fingertips now, what are some of the things that you've changed, let's say, in the last 3 to 6 months operationally? You've talked about some of the -- an acceleration of lean and identification of specific organic opportunities. Are those factors a function of the ERP or is it kind of -- are more to come on that and you've just only begun to identify how it can help you?
Carl R. Christenson: So I think lean is a separate -- those benefits are separate from the SAP project. But what we are trying to see is now how powerful data can be. For the first time, we have visibility about supplier payment terms, for instance, across right now maybe 80% of the portfolio. We see how many different payment terms we have in the system and that now allows us to act and consider.
Carl R. Christenson: Changes.
Christian Storch: The changes. We now, for the first time, have complete visibility about pricing into -- across 80% of the portfolio. That allows us to really support this strategic pricing initiative with good and high quality data. And we're going to see the benefits of that 60 basis points probably starting late in the fourth quarter and into next year. So the power of data and having that visibility is starting to come up. Then other benefits, and they're not quantifiable yet, is that we now have customer service capabilities where the customer service persons of Deloitte where we have a shared service, for the first time has visibility to inventory levels at business units that they never had before. And while these are not big numbers yet but the cross-selling opportunity, we start to see how powerful this tool can be down the road.
Operator: Our next question comes from Anna Kaminskaya with Bank of America.
Anna Kaminskaya: Most of my questions have been answered. But I'm just thinking long-term, you've outlined lean initiative, SAP implementation. Do you have any specific margin or return targets that you have for the company in the next couple of years? And is this something that you would be willing to share at your Analyst Day in May?
Christian Storch: Yes, we're prepared to share that with you at the Analyst Day. We have repeatedly said our first step goal is to get to an 18% EBITDA. And we think with the combination of the strategic pricing for next 2 years, with the benefits of lean, with the drop off of the SAP implementation cost in the second half of next year, and some of the other things, the restructuring we have done, we believe we're now on a path to achieving that goal.
Anna Kaminskaya: Will you outline timing for that 18% margin goal or...?
Christian Storch: Yes, we will.
Carl R. Christenson: And our director of Lean is going to be at the Analyst Day and have a short presentation to talk about what we're doing there so you can talk to him in person.
Operator: We have a follow-up question from Jeff Hammond with KeyBanc.
Jeffrey D. Hammond: Guys, what's the SAP cost again this year and what does it go down to in the next year?
Christian Storch: It's about $2 million. It's running through the P&L this year. We believe that will be cut in half next year.
Jeffrey D. Hammond: And then into '15, you got it down to nothing?
Christian Storch: Okay, and then, you've been ratching in the dividend quite a bit here, is that -- do we kind of rest here for a while or is that something you continue to address on a shorter-term basis?
Christian Storch: Jeff, we discussed it at every board meeting and it's a decision that the board takes. So I don't think we are in a position to speculate what the board will decide in the future.
Jeffrey D. Hammond: Well, good to see you move on that.
Christian Storch: The current increase, I think, the motivation was we have good performance, we have very strong free cash flow performance this year and we predict that to continue and that the shareholders should participate.
Operator: There are no further questions in queue at this time. I would like to turn the call back over to Mr. Christenson for closing comments.
Carl R. Christenson: Okay. Thank you for joining us this morning. And we look forward to seeing many of you at our first Investor Day on May 16 in New York. During the day, we'll be providing more information about our organic growth strategy, including how we target new strategic markets, cultivate new customer relationships and work collaboratively with our customers to develop new products. We'll be hearing from a broad group of senior management, including all of our business unit leaders. And for an invitation, professional investors are encouraged to e-mail aimc@investorrelations.com or call (617) 542-5300. Thank you.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. And thank you for your participation.